Operator: Good morning. My name is Leda, and I will be your conference operator today. At this time, I would like to welcome everyone to the Keyera Corp. 2014 Year End Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. John Cobb, you may begin sir.
John Cobb: Thank you, Leda, and good morning. My pleasure to welcome you to Keyera's 2014 year end results conference call. With me are David Smith, President and Chief Executive Officer; Steven Kroeker, Senior Vice President and Chief Financial Officer, Brad Lock, Senior Vice President - Gathering and Processing Business Unit; and Dean Setoguchi, Senior Vice President-Liquids Business Unit. In a moment, David will provide an overview of the year, Brad and Dean will discuss the business and Steven will provide additional information about our financial results. After that, we'll open the call for questions. Before we begin, however, I would like to remind listeners that some of the comments and answers that we will be providing today speak to future events. These forward-looking statements are given as of today's date and reflect events or outcomes that management currently expects to occur based on their beliefs about the relevant material factors as well as our understanding of the business and the environment in which we operate. Because forward-looking statements address future events and outcomes, they necessarily involve risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties include fluctuations in supply, demand, inventory levels, and pricing of natural gas, NGLs, isooctane and crude oil, the activities of producers and other industry players, our operating and other costs, the availability and cost of materials, equipment, labor and other services essential for our capital projects, governmental and regulatory actions or delays, general economic conditions, and other risks as are more fully set out in our publicly filed disclosure documents available on SEDAR and on our website. We encourage you to review the MD&A which can be found in our 2014 year end report published yesterday and is available on our website and on SEDAR. With that, I'll turn it over to David Smith, President and Chief Executive Officer. Go ahead, David.
David Smith: Thanks John and good morning everyone. Thank you for joining us today. I'm pleased to report Keyera enjoyed it's most successful year ever in 2014. For the second consecutive year all three of our business segments delivered record operating results and contributed to our unprecedented financial performance. During the year we also completed a number of strategic growth initiatives and announced several acquisitions to compliment existing operations. We expect these initiatives to contribute growing cash flows to Keyera's results in 2015 and beyond. I'll speak first about our fourth quarter results. Total operating margin in the fourth quarter was $188 million compared to $102 million in the fourth quarter of 2013. Our gathering and processing business unit reported an operating margin of $52 million compared to $38 million in the same period of 2013. Operating margin in our NGL infrastructure business segment was $55 million up $21 million from the fourth quarter of 2013. And our marketing operating margin was $68 million compared to $29 million in the same period in the previous year. These fourth quarter numbers contributed to the exceptional results that we recorded for the full year. Net earnings for the full year were $230 million or $2.80 per share, 56% higher than in 2013. Adjusted EBITDA was $530 million, 40% higher than the prior year. Distributable cash flow was $389 million or $4.073 per share and dividends to shareholders were $207.3 million or $2.52 per share which resulted in a payroll ratio of 53% for the full year. In May 2014, Keyera raised its dividend by 7.5% and yesterday we announced another dividend increase of 7% beginning with our March dividend payable in April. These increases are consistent with our objective of providing stable and growing dividends to our shareholders. Steven will talk more about our financial results later in the call. 2014 was also a record year for growth initiatives as we invested almost $1 billion including acquisitions to enhance at our network of integrated plans, pipelines, facilities and services. It is this network that allows our customers to access services across our entire Valley chain from the wellhead to market. Our recent investments are consistent with our strategic direction and as I said, we will deliver incremental cash flow in 2015 and beyond. With that, I will turn it over to Brad Lock to discuss our gathering and processing business unit.
Brad Lock: Thanks David. As mentioned, 2014 was a record year for the gathering and processing business unit both due to increased demand for our services and increase throughput at many of our facilities. In West Central Alberta where several of our larger plants are located, producers are having success drilling a number of geological formations including the Mannville, Spirit River, Cardium, and Glauconite Horizons. The result in production is driving throughput growth at our facilities in the area. In the deep basin area around our Simonette gas plant, the Montney zone continues to be the primary focus for most producers though Duvernay continues to earn a significant interest. In the fourth quarter several of our facilities including Rimbey, Strachan, Nordegg River, Simonette, Minnehik Buck Lake, Pembina North and Brazeau North were operating at or closed to their effective capacities. Overall, gross processing throughput in the fourth quarter was 1.6 billion standard cubic feet per day, up 10% from the third quarter of 2014 and 22% from the fourth quarter of 2013. In 2014, we enhanced our customer service offerings in the gathering and processing business by acquiring working interest in the Cynthia gas plant located west of Drayton Valley in our core processing region. And Ricinus gas plant located south of our Strachan facility. We also agreed to participate as an owner in two new plants that are under construction including the Alder Flats plant being constructed by Bellatrix Exploration and the Zeta Creek plant being constructed by Velvet Energy. All of these plants are located in West Central Alberta, an area where producers are seeking additional processing capacity and will help alleviate existing capacity constraints. Keyera also continued to expand the capital area of our adjusting plants to construction of additional gathering pipelines. During the year, we completed an expansion of the cargo pipeline and construction of the Wilson Creek gathering system both of which delivered gas to the Rimbey gas plant. The Twin Rivers pipeline project is well underway with the backing of many producers who have active development plants in the area. When completed, the pipeline project will deliver liquid rich gas to our Brazeau River and West Pembina gas plants. We anticipate the initial portions of the project involving modifications to existing pipelines and initial segments of new line will be competed this quarter which will allow us to immediately access unutilized capacity at our West Pembina plant. The southern portion of the new pipeline segment is expected to be on-stream by the second quarter of 2015, which will complete the entire network. At our Simonette gas plant, we have extended the capital area of the plant to support producers drilling in the liquid rich Montney zone. Construction of the Wapiti pipeline system was completed in the third quarter and the raw gas gathering pipeline began operation in September. The plant expansion to add 100 million standard cubic feet per day of processing capacity and enhanced condensate handling is nearing completion. We anticipate that these projects will be operational by the end of the first quarter of 2015 at which time we'll bring the condensate pipeline that was constructed as part of the gathering system online. At the Rimbey gas plant, installation of the 400 million standard cubic feet per day turbo expander plant is progressing well, and is on track to be completed around the middle of this year. During the fourth quarter, the demethanization and deethanized repowers were lifted into place significantly changing the plant landscape. The new facility will increase recoveries of ethane and other NGLs from the raw natural gas streams. We believe we’re well positioned for 2015. Our fee-for-service business provides essential services to our customers and our recent capital investments will begin to generate incremental revenue this year. Our fee structures don’t have commodity price exposure and our extensive network of facilities provides us with geological, geographical and customer diversity. I’ll now turn it over to Dean, to discuss the liquids business unit.
Dean Setoguchi: Thanks Brad. The liquid business units also reported record results in 2014, with strong contributions from both the NGL infrastructure and marketing segments. We continue to see growing demand for fractionation, storage, transportation, and other liquid logistics services in 2014 as producers increased production of both liquids rich natural gas and bitumen from the oil sands. The growth and demand for NGL processing and handling, as well as oil sand services highlights both the diversification of our service offering and the value that our integrated operations provides for our customers. To meet this increasing demand Keyera expanded its infrastructure and improved market access for Western Canadian producers by adding two rail and truck terminals in 2014. The Alberta crude terminal has capacity to load up to 40,000 barrels per day of crude oil, pursuant to a contract with Irving Oil and her Hull Texas terminal now in operation provides access to the largest NGL market in North America. The Josephburg Rail Terminal is under construction and is expected to be operational by mid-2015. This terminal is a critical piece of infrastructure for our customers as it will provide additional propane egress from Western Canada. In the feasibility to improve propane from Western Canada to markets was challenged in 2014 given the increase in propane supply and the conversion of the Kinder Morgan Cochin pipeline to condensate service in July. At Keyera's Fort Saskatchewan Fractionation and Storage Complex, we have number of projects underway to meet customer demand. Construction of our 30,000 barrel per day de-etherizer is almost complete. And we expect to start up the facilities by the end of the first quarter. Our share of capacity is contracted under a long-term take-or-pay agreement. Work is also underway on a construction of a second fractionator, which will more than double our C3-plus fractionation capacity at Fort Saskatchewan to 65,000 barrels per day. We received all regulatory approvals, and based on current construction schedule plan to be up and running in the first quarter of 2016. To address the continued demand for diluent storage, we recently completed construction on our fourth brine pond. Our 13th underground storage cavern is nearing completion and is expected to be in service by mid-2015 with washing of the 14th, cavern currently underway. The next phase of our storage capacity expansion is progressing. As we recently completed drilling the well bore for a 15th storage cavern and washing is expected to commence mid-year. Keyera remains focused on extending our diluent logistics business in the Edmonton/Fort Saskatchewan area and continue to have customers committing to these services. To further enhance the services we offer in this part of our business, we’re trying to add four 60,000 barrel condensate tanks at our Edmonton Terminal. This additional storage capacity will add flexibility and enhance operational efficiency for our Fort Saskatchewan condensate system. We anticipate that the cost of this project will be approximately $90 million. Engineering work is continuing to advance on the Norlite diluent pipeline with Enbridge. The completion date is expected to be mid-2017. The project provides many synergies with our condensate system in the Edmonton Fort Saskatchewan area. Our marketing segment also had an exceptional quarter, delivering a record results for the quarter and the year. A big factor was a performance of our iso-octane business with both higher sales volumes and higher margins. During the year we focused on increasing iso-octane delivery options, which allowed us to expand markets for this product across North America. As a result, our Alberta and Biofuel's facility operated across the capacity for the entire year. With that, I’ll turn it over to Steven, to discuss the financial results in more detail. Steve?
Steve Kroeker: Thanks Dean. As David mentioned earlier, we're very pleased with how well all segments of our business performed this year and with the record results achieved in each segment. Keyera generated a total operating margin of $644 million from our three core business segments. Of this operating margin 63% was derived from the fee based segments. Our gathering and processing business unit delivered record operating margin of $218 million during the year, 39% higher than for 2013. These results can be primarily attributed to continued growth and throughput at many of our facilities including Rimbey, Strachan, Simonette, Brazeau River and Minnehik Buck Lake. And the recovery of cost associated with the turnaround at the Strachan, Caribou, West Pembina, and Cynthia gas plants. In addition we had incremental volumes and revenue from the Wapiti raw gas gathering pipeline that started operating in the fourth quarter. The liquids business unit also delivered record results in 2014. For the year, operating margin in NGL infrastructure segment was $189 million or 53% higher than the $123 million reported in 2013. This increase reflects strong demand for NGL fractionation and storage services, higher pipeline volumes and tariffs and increase in volumes on our Fort Saskatchewan pipeline and on our Fort Saskatchewan condensate system, as well as incremental margins at the self TTM and Alberta crude rail and truck terminals, which began operating in October 2013, and October 2014 respectively. The NGL infrastructure segment also continues to benefit from fees, charge to the marketing segment by the production of iso-octane at the Alberta Envirofuels facility, and from the high utilization rate at that facility. The marketing business generated exceptional results in 2014. Operating margin was $237 million or 79% higher than the prior year, reflecting stronger iso-octane volumes and margins and an effective risk management program. Keyera's risk management program was effective and protecting its NGL inventory from the effect of falling commodity prices in 2014. As a result of the decline in commodity prices in the fourth quarter, Keyera had an inventory write-down of approximately $59 million, which deducts in calculating operating margin and distributable cash flow. This inventory write-down was substantially offset by both realized and unrealized gains on risk management contracts. Realized gains on our financial risk management contracts in the fourth quarter were significant at approximately $68 million. And a portion of these gains were associated with inventory till held at December 31, 2014. The majority of Keyera's $51 million in unrealized gains on risk management contracts as of December 31, 2014 also relate to inventory held at December 31, 2014 and are expected to settle in the first quarter of 2015. Consistent with Keyera's growing business, general and administrative expenses, depreciation and amortization expenses, and long-term incentive plan cost increased year-over-year. Our finance cost of approximately $51 million was slightly lower than the prior year due to the capitalization of interest on certain capital projects under construction. Keyera incurred $32 million of current taxes in 2014, compared to only $2 million in the prior year. This increase was due to the growth in Keyera's business which increased taxable income and exceeded our available capital cost allowance deductions. Keyera's 2014 income tax largely relates 2013 taxable income from the Keyera partnership, a wholly owned subsidiary and Keyera's many operating entity. For 2015, Keyera currently estimate that its cash taxes will be between $85 million and $95 million representing approximately 20% to 23% of Keyera’s 2014 pretax distributable cash flow. We anticipate cash taxes for 2016 will benefit from the completion of several large growth capital projects in 2015, which will allow higher capital cost allowance deductions. The expected completions in 2015 of the Rimbey Turbo, Simonette expansions, de-ethanizer and Josephburg Rail Terminal alone are expected to make approximately $590 million of capital available for use. Our 2014 net income also includes non-cash impairment expense of $80 million, of which $49 million relates to a reduction in the carrying value of three gas plants and approximately $31 million, relates to the Cynthia and Minnehik Buck Lake oil and gas reserves. Despite the write-down of reserves, $27 million in other income was generated from the reserves in 2014. Our capital liquidity continues to be strong with the net debt EBITDA ratio of 2.16x at the end of the year, compared to our strictest covenant of four times. As a result, Keyera is well-positioned to execute the 2015 capital plan of $700 million to $800 million and to selectively pursue acquisition opportunities. In addition to the dividend increase that David mentioned earlier, we announced yesterday a 2:1 split of Keyera shares. Keyera shareholders record on April 1, 2015 will receive one additional common share of Keyera for each common share held. No action is required to be taken by shareholders, share certificates will be mailed out to registered shareholders and beneficial shareholders, brokerage accounts will be credited for the additional shares representing the split on or about April 2, 2015. The share split will not have unfavorable tax consequences. Keyera plans to maintain a monthly dividend policy adjusted to taking to account the stocks split. More details in the share split and the dividend increase can be found in our 2014 year-end report available on our website or on Keyera. Note, the declared dividends for February and March are to be paid on a pre-share split basis. Finally, we've included our fourth quarter supplementary information on our website, concurrent with the release of our financial results. This information includes both operating and financial data for each segment of our business. You can reference our 2014 year end report for details and how to access the supplementary data. That concludes my remarks, David back to you.
David Smith: Thanks Steven. As our 2014 results demonstrate demand for Keyera's services and products continues to be strong. More than ever, our customers are benefiting from the integrated services of Keyera's three business segments delivering increasing amounts of natural gas to Keyera's processing plants and contracting for additional capacity at the facilities in our liquids business unit. That said, we expect 2015 will be a challenging year for the oil and gas industry. Over the past several months, we have seen significant declines in the prices of crude oil, natural gas and the other related commodities. And our customers are reducing their capital expenditure plans accordingly. At Keyera, we expect that the near term impact on our business will be modest because our cash flow is largely driven by fee-for-service arrangements and throughput volumes and many of our capital projects are underpinned by long term contracts. In times of capital constraint, producers tend to focus on drilling their best prospective zones such as the Cardium, Glauconit and Montney and in areas close to existing infrastructure, so that they can maximize their net bags and turn results into positive cash flow quickly. We believe this favors the location, flexibility and capabilities of Keyera's facilities. And demand for our oil sand service offering remains strong as bitumen production continues to grow with the new major projects coming on stream this year. As Keyera is the service provider to the energy sector we will work with our customers during this challenging time to ensure a cost competitive environment that is beneficial to both Keyera and our customers. And we will continue to make progress on the next phase of our infrastructure investments that the industry will need. We take a long term view of our business and we believe that we’re well position today and for the future, given the locations of our assets within the Western Canada Sedimentary Basin, our integrated service offering and our experience gained in previous business cycles. We have a strong balance sheet and a conservative payout ratio which provides the funding for our current capital program and allow us flexibility to pursue selective acquisitions. Before I conclude, I would like to take the opportunity to recognize and express our appreciation to Jim Bertram, who has been our Chief Executive Officer since we started the company in 1998. Keyera's success today is a reflection of Jim's vision, values, leadership and work ethic over the past 16 years. During that time, it has been my pleasure to work alongside Jim, and I look forward to continuing our relationship as he moves into his new role as Executive Chair of Keyera's Board of Directors. John that concludes my comments.
John Cobb: Thanks David. Leda, please go ahead with the questions.
Operator: [Operator Instructions] Your first question comes from Linda Ezergailis. Your line is now open.
Linda Ezergailis: Congratulations on the strong quarter, I apologize for my voice. A few questions I realize 2016 is a long way out and there is a lot of moving parts to the outlook but during discussions more with producers and all of us on the phone I think, I’m wondering if you could give us a potential bookend of what's possible for your capital expenditures. Obviously it's a function of commodity prices and other things but may be you can walk us through how you are thinking about what 2016 might look like from a growth capital perspective?
David Smith: Linda, it's really too early I think for us to tell. We certainly are still quite comfortable with the guidance that we've provided for 2015, $700 million to $800 million. The bulk of that is in projects that we've already announced that are already well under way. We continue to have discussions with producers both in the gathering and processing business unit and the liquids business unit about further expansions of capacity and additions to our facility network. And at this point those conversations continue to progress but I think it's just too early to tell whether the timetables for some of those projects may be affected. I think will be in a much better position to be, we judge that in the next couple of quarters.
Linda Ezergailis: And I realize its still early days on the M&A side as well but do you expect or are you seeing kind of more midstream assets things -- for sale by producers.
David Smith: We had conversations with producers over, over a long period of time. The three transactions that we announced in the fourth quarter were sort of I think indicative of the things that, that we would be interested in doing. But it wouldn't be appropriate from me to comment on anything specifically at this point.
Linda Ezergailis: Okay. And this is may be more question for Steven, again I realize cash taxes in 2016 will be a function of your results in 2015. But can you give you us sense of how much cash taxes might come down in 2016 versus 2015 as a percentage of cash tax rate may be or where it might fall in between 2014 and 2015 taxes.
Steve Kroeker: Yeah, unfortunately we don’t - we try and avoid giving too much guidance on go forward taxable income or tax statements themselves because people can read backwards into income. But we try to highlight that the amount of capital - the $590 million of capital that I was trying to refer to, we would have loved to have that in 2015. And I think if you look at those numbers, I think you can address in pretty good conclusions about how cash taxes will be impacted in 2016.
Operator: Your next question comes from Rob Hope. Your line is now open.
Rob Hope: Good morning and congratulations on another solid year. Maybe, I was just hoping for some additional color on your comments that you will be working with your customers in these challenging times and are you looking to potentially already adjust some fees or, or are you looking to delay projects and have your long term kind of take-or-pay contracts, just want to confirm there has been no discussions around them.
David Smith: No Rob, I wouldn’t expect that the existing take-or-pay contracts would be affected. I think both parties to those agreements understand the economic basis for those. We have been through at least two of these cycles before and it's our experience that we would see some - certainly some discussions with customers about falling down plans and some concerns about fees in limited specific instances. But I wouldn't think again based on our prior experience, I wouldn't think that those would be material.
Rob Hope: Okay. And then may be just the follow up on that, assuming that there is no recovery in NGL prices or any of the commodities right now, how would you think your volumes would change over the next 12 to 24 months.
David Smith: Again it's very hard for us to predict that, - what I try to - the color that I try to provide in my comments is that, we expect that in the near term the prospect that the producers would be focused on will likely favor our facilities. There are going to be focus scenarios where they can get the gas on quickly and that means existing infrastructure. And also the strong net packs from some of the zones like the Glauconite that we have seen over the course of the last two or three years are still positive. So we think that in the near term that's good for us. Longer term is a bit more difficult to predict but what I would say is that, if you look at our history of throughput over the course of couple of down cycles, it's a lot more stable than a lot of people tend to expect. So we are not really too concerned about it. Ask me again in a year if we still see commodity prices at this level.
Operator: Your next question comes from David Noseworthy. Your line is now open.
David Noseworthy: I would add my congratulation to the group here. Maybe just following on Rob's question, what sort of winter drilling activities are you seeing around your gas plants and are there any other areas considered as optimism?
Brad Lock: David, this is Brad. We still see activity around our plants. It's certainly reduced from what we saw through the early part of 2014. That being said, we haven’t seen a hard stop on drilling. And I'd reiterate David's comment that, most of the producers we talk to like the prospects that they have behind our gas plant, so they continue to see those as attractive places to drill in today's environment.
David Noseworthy: I'm appreciating that you had a full portfolio so now everything is great. Are there any areas that obviously Brazeau River have been an exception but are there any areas where you’re saying, well, that's falling off a little bit more.
Brad Lock: I would say it's a little early to tell. A lot of the production that gets tied into our plant's is drilled in previous quarters. So consequently the impacts that we will see in the near term will be previous activity. So, going forward it’s a little harder to tell. The one place that we continue to see volume declines is around our Nevis facility and we've known that for a while that that's on eastern part for the basin which is a little bit less prospective. That being said, that facility continues to be an attractive site due to the NGL infrastructure and fractionation business that we are continuing to mature around that facility.
David Noseworthy: Fair enough. And then maybe just on your CapEx. You announced a number of new prospect of projects, the oil terminals, pipelines connection extract and also another pipeline Twins River and Pembina North. Are these projects included in or incremental to your 700 million to 800 million 2105 CapEx?
Brad Lock: Those projects you mentioned are all included in the outlook that we have provided.
Operator: Your next question comes from Carl Kirst. Your line is now open.
Carl Kirst: Thanks. Good morning everybody. Actually just - maybe to start wanted to just follow-up on David's question on $700 million $800 million 2015 CapEx and the $90 million I guess that's now been going forward on the four condensates. Has the lower end of that, the $700 million, I guess with the addition of $90 million has that now lower band been committed or maybe a better way to ask is, how much of the $700 million to $800 million is committed and what still needs to come over the commercial transform, I guess, I’m trying to figure out if conversations have slowed down in the current environment for that perhaps last little tiny sliver?
David Smith: No, I think the lower end of the range is pretty much all now projects that we are moving forward on Carl. Now having said that, of course there is some uncertainty with respect to that timing of the spending on some of the longer term projects. So that could affect that somewhat but we are pretty comfortable with that guidance at this point.
Carl Kirst: Excellent. And just to better understand the Condi things. Is that for - carries on, do ou want service offering or those contracted that the third parties?
David Smith: No, I would characterize those as primarily for operational purposes. As we have continued to add customers to the condensate network in the Edmonton and Fort Saskatchewan area and as we have continued to add connections, we realize that with the ups and downs in the inflows and the outflows, we need a certain amount of operational storage. Having said that, we do expect that there will be a fee income associated with the customer contracts that we will have.
Carl Kirst: Great. And then just one question if I could on the iso-octane margins. I know you guys obviously have been very good at risk management and trying to enter into hedges. Can you give me a sense of how far you can hedge those iso-octane margins? Is that something that you can go out to protect as much as a year or is that more, sort of, just forward three months, just trying to get a better sense of that.
Dean Setoguchi:
, :
Operator: Your next question comes from Robert Catellier. Your line is now open.
Robert Catellier: Thank you. Good morning everyone. My first question is for Steven. I just want to make sure I understood your comments correctly. I think I heard that there is some realized gains in the fourth quarter on the inventory that you still hold. So wanted to just clarify that and can you quantify the amount and indicate a - just related to NGL iso-octane or production reserves?
Steve Kroeker: I can clarify there. So, the main point that I'm trying to get across is that we have an active hedging program that has resulted in realized gains coming into our financial results throughout Q4 as the WTI was sliding to the last part of 2014. The 68 million of realized gains in the fourth quarter, a majority of that would have been in the month of December. And so again some of that would have related to the business of December. It's sort of hard to tell how much is the business of the September versus the inventory at the end of month. And so, but I think it is important to realize that a portion of that would likely be associated with the inventory at the end of the month. And then the 51 million of unrealized gains as of December 31, the value of the contracts that were in the place as of December 31, a majority of that would relate to the inventory as well. Most of that would relate to the NGLs. The difference between the other portion of the unrealized gains at the year end would relate to us protecting our margins on businesses like iso-octane into 2015.
Robert Catellier: Right. So that for the portion of realized gains for inventory that you still held, was that then re-hedged or is that inventory now no longer hedged?
Steve Kroeker: No, we have a continuous process of making sure inventory is hedged going forward.
Operator: Your next question comes from Robert Kwan. Your line is now open.
Robert Kwan: Good morning. If I can just come back to the nature of the take-or-pay at the gathering and processing or the gas plants, just with what you have in the firm priority access, on the same plant basis is the expectation then directionally - if the quantity price environment continues that you'd to expect to be better off than what you've observed at the plant's in the 2008 to 2010 volume downturn?
David Smith: It's kind of tough to drop parallel Robert. In the 2008, 2009 environment we had not only softer commodity prices but we also had a royalty regime in the Province of Alberta that was rather punitive which is not the case today but it's a bit of a different world. As you've seen through the fourth quarter we continue to see increases in throughput. At our facilities we're debottlenecking with projects like the Twin Rivers pipeline and so as that continues that will also be a positive influence. But for us to sit here and say, it's going to look like 2008 or 2009 going to be different, it’s very difficult for us to predict.
Robert Kwan: Fair enough. I ask though, some of the things that you mentioned there and royalty regime last time gas your deep bottlenecking and then with the take or pay contracts that and these directionally sales like this could be a lot less or a or a lot shallower than the last downturn at least as we stand right now?
David Smith: It’s possible, I think it’s just and I guess what I’m saying is just a little to early to tell but I think any impact that we would see any downward impact that we would see would be, I don’t think you’re going to see it soon and I think it will be very gradual.
Robert Kwan: Okay. And just on the isooctane sites, on the last call you’d mentioned that just with a of running full out, you were getting better premiums over our ball over time, is that something the trend that you’re continuing to see as we ahead into 2015.
Dean Setoguchi: Robert, this is Dean. We do see a premium to our blog for our isooctane business. There is some variability to that premium so we don’t comment on what that premium is from year-to-year but I can’t say that it is relatively strong and it’s still exist.
Operator: Your next question comes from Dirk Lever. Your line is now open.
Dirk Lever: Thank you very much. Congratulations to you on the results but also to Jim Bertram for a job well done. And I have two questions, when we are looking at the isobunate business in the past, it has been whether seasonal with the marketing efforts and the transportation work that you have done or you starting to see that seasonality flatten out now.
Dean Setoguchi: Yes, Dirk its Dean and there is still a seasonal component to isooctane and if you look at the forward are bought cracks you'll notice that the summer months traded a higher spread than the, than the winter months and we do have ineffective risk management program and we do try to walk in where we considered to be a reasonable margin and for that business but there is a seasonal element to it for sure.
Dirk Lever: Okay. But as if it down a little bit from your perspective.
Dean Setoguchi: Dirk, the other thing that I would say is that, the seasonality affects the margin more in our case more so than the volume. It such a small piece of the overall gasoline supply full in North America that, it’s not a volume effect it’s a margin effect.
Dirk Lever: Okay, thank you. And then when you look at your deal of what operations today and the capacity that you have and that you’re working on, is it all matched off with committed oil sand activity?
Dean Setoguchi: I would say yes, we continue to add long term contracts with various oil sands producers or bitumen producers in the oil sands. We stated off a few years ago with sort of the anchor contract with Imperial all for their crude oil project but we've added contracts with companies like Synovus in JACOS and others. As we continue to build volume on the system and we add connections to sources of supply like the Cochin pipeline last summer, we continue to add, identify where the next bottleneck will be and invest capital to elevate those bottlenecks. So its, it were we’re matching the facilities requirement with the growth in demand on the system.
Operator: Your next question comes from Steven Paget. Your line is now open.
Steven Paget: Good morning and thank you. Is it fair to say that Keyera takes care of all the marketing of Dalles propane and butane that doubt produces at Fort Saskatchewan?
David Smith: No.
Steven Paget: Okay, so -
David Smith: They handle the production of their volumes from their facility.
Steven Paget: They handle the marketing as their own volumes or Keyera handles its net volumes?
David Smith: That we handle the volumes, that we get from our share of the capacity that we own at the Tao Fort Saskatchewan facility, but that's a small piece of the overall production from that facility.
Steven Paget: Thank you David, how much of your rail business, NGL infrastructure and marketing business six Bos to the strike at CP?
Dean Setoguchi: Steven. This is Dean. We do have some facilities are served by CP and I can’t give you an exact percentage of our business, obviously we do have some service from CN as well and dual service at some facilities. Where we can’t say those that we’re working CP in the event of a strike to maintain as much service as possible. But we also do have storage assets as well so we can continue operations and deliver the product to storage if we had to for a period of time.
Operator: Your next question comes from Matthew Akman. Your line is now open.
Matthew Akman: Good morning, the $90 million that you’re investing in the Condi tanks. So I’m just wondering if you can recover incremental fees from your base customers that are on the system like Husky and Imperial for the construction of those, because it sounds like where you’re standing is they’re benefiting there from a privilege of Texas result of their construction?
David Smith: Matthew, as I mentioned earlier, we do expect that there will be some fee income associated with those tanks it’s, it would not be appropriate for me to get into the specifics of individual contracts as you point out. We have a number of existing contracts and we will be adding additional customers going forward.
Matthew Akman: Okay. Thanks coming to octane hedging I mean it looks like some of the pricing has been very volatile and I’m just wondering if that presents additional risks or opportunities. And how you’re thinking about that from a hedging standpoint whether you hedge more or less in that context?
David Smith: I think our philosophy is always been to just try to lock in margin so, we are rare in hedges over time so and we hedge forward so typically up to a year forward. But we’re not trying to be sort of to offer that during that Q try to gain the market or anything like that speculate on the market. We think that we have a great integrated value chain with both our VPN and also the iso-octane business. So again we’re just trying to preserve a lot of margin there.
Operator: Your next question comes from David Noseworthy. Your line is now open.
David Noseworthy: Thank you. Perhaps just first on your guidance. Can you provide any additional guidance on the timing of your turnarounds?
Brad Lock: Yeah. This is Brad, we’ve got turnarounds this year at four facilities Rimbey, Brazeau, River and bigger A are all scheduled for Q2 and our Minnehik Buck Lake is scheduled for Q3.
David Noseworthy: Great. And then perhaps just in terms of your condensate system. Can you give us an idea of what percentage of volume that Keyera handles under the general transportation of source and service agreements goes on to the parallel pipeline. And how if that all does that change going forward?
David Smith: I’m not sure that we have an answer for you David, the most of it would be on flares today simply, because we don’t – we’re still adding connections. But as we go forward we would expect that that relatively that the proportion of condensate, that goes on flares would decline on a relative basis, that may increase on absolute basis, but decline on a relative basis if I can put it that way.
Operator: Your next question comes from Robert Catellier. Your line is now open.
Robert Catellier: Sir I just had a question on more on long-term strategy here. Dean, talked a bit about the relatively poor market access for some Canadian production, obviously Keyera projects the Internet by helping customers to their product market. But another way to look at that is maybe Keyera should consider diversifying into other basin. So can you give us your perspective about basin diversification please?
David Smith: That’s a bit of a interesting question Rob that we discussed and have discussed over the years. It’s we certainly looked to the less on variety of occasions I think it’s fair to say that our focus has been on the liquid side of the business more so than on the gathering, processing side of the business. That's primarily because, the liquids businesses in North American market and it makes sense for us to look to ways to extend our value chain and the investment that we made in whole Texas is an example of that. I think those are the kinds of things that we could do more obviously right opportunities present themselves. In our experience gathering and processing business is one that's very competitive in the U.S. and we’ve had more than enough opportunities in Western Canada to continue to pursue. So it hasn’t been a high priority for us. If your question is, what we'd consider looking at geographic areas outside of North America, I think it’s not something that we looked at really seriously at all.
Robert Catellier: That answers the question. Thank you.
Operator: Your next question comes from Carl Kirst. Your line is now open.
Carl Kirst: Thank you. Just a quick follow up Dave. If you were in a prolonged stress down, down market you guys obviously have a very conservative distributable cash flow pay out ratio right now, is there any sense of what you guys would be willing to take that to or how high is your - where is your comfort level if I can ask that?
David Smith: I’m not going to give you a specific range or number Carl. Whenever we increase the dividend, we do a fair bit of analysis to understand what we think the possible future scenarios look like. We certainly never want to be in a position where we have to think about dividend reduction. We'd like to track record that we have for small steady increases over time and as we look forward from today we don’t see any reason why we can’t continue that track record.
Carl Kirst: Great, thanks for the color.
Operator: Your next question comes from the David Noseworthy. Your line is now open.
David Noseworthy: Just one quick question on comp of ConocoPhillips, you have two sets of contracts, one for field gathering processing, one of them expired in 2014. I was just wondering what happened to those contracts and related volumes?
David Smith: I'd have to check but I think you may be mistaken, the contracts that I'm aware of that we have with ConocoPhillips all expire in 2018. We had some agreements with respect to gathering and processing as well as with respect to natural gas liquid supply. If there is a shorter term contract that may have been a legacy deal with Burlington but its something that I'd have to check. What I can say is that at this point we're not really particularly concerned about the expiry of those contracts; they've become a fairly relatively speaking and fairly small proportion of our overall business. And quite honestly, we expect that ConocoPhillips will want to continue those relationships as we look forward just because of the - the services that we continue to provide to them.
David Noseworthy: And Jim, may be just the one last question here, can you provide your outlook on propane in Edmonton specifically but also North American more generally and for just how Keyera is positioning itself relative to that outlook?
Jim Bertram: Propane is something that we probably produce four times more than we consume in Western Canada and our only pipeline takeaway out of Western Canada was the Cochin pipeline which is, since been re-serviced for quantitative - to bring quantitative into Western Canada. So as an industry, as I mentioned, it's a challenge for us to move out those incremental or extra barrels of propane. So what we’re trying to do for our customers is to find markets - the best value markets for that propane. The problem is this year with the - with the warm winter, we're sitting with about 25 million more barrels of propane in inventory than we did last year in North America. So it’s pretty significant. And then when you get to the open water in terms of the international markets, inventories have been fairly strong, so the arm to export hasn’t been great this winter either. So I think, generally propane is going to be long at least in the short and medium term and its lot of its weather dependents but we have to find the best markets and more uses for.
Operator: Your next question comes from Steven Paget. Your line is now open.
Steven Paget: Thank you Mr. Kroeker, you've talked about 590 million in capital becoming available for tax depreciation in 2016. What's the blended rate on that, is that between 8% and 10%.
Steve Kroeker: The 590 million I was referring to just was referring just four projects as a example. So again three of those projects will be bigger ones and then you have the Josephburg Rail Terminal which we’re targeting completion more in Q3. It's safe to say that the products have more gas plant focus and more like 25% typos and even better for facilities like the de-ethanizer. The terminal would be a little bit lower rate.
Steven Paget: Excellent. Thank you. David you said that the clock continuous to be profitable and Rimbey had record volumes in December I understand. Could you be looking at a possible extension there?
Steve Kroeker: Very possibly Steven, that is one of the projects that we have under consideration. The advantage that we have in the investment that we’re just concluding in the tool box standard is that, we will in fact have two parallel NGL recovery trains at Rimbey, the existing lean oil train as well as the new Turbo extender. What that means is that, with fairly modest capital investment in additional and inlet facilities, we can expand the inlet capacity of the Rimbey plant. Certainly this capital involved but it would be fair bit cheaper than a new built comparable facility. At this point, we need to spend more time working with the producers understanding their longer term plans before we would make any go ahead decision on our investment like that.
Steven Paget: Thank you, David.
Operator: There are no further questions at this time. I will turn the call back over to the presenter.
John Cobb: Thank you, Leda. This completes our 2014 year end results conference call. If you have other questions please call us, our contact information is in yesterday's release. Thank you for listening and have a good day.
Operator: This concludes today's conference. You may now disconnect.